Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MicroStrategy Q1 2020 Earnings Call. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions].I would now like to hand the conference over to your speaker today, Michael Saylor, Chairman, President and CEO. Please go ahead.
Michael Saylor: Hello. This is Michael Saylor. I'm the Chairman, President and CEO of MicroStrategy. I'd like to welcome all of you to today's conference call regarding our 2020 first quarter financial results. This has been quite an unusual and eventful quarter for the world; and for MicroStrategy, we’re about to share an update. I will start with the change in our leadership team. Lisa Mayr has decided to resign from MicroStrategy to pursue other opportunities. We wish her well. I’m happy to announce that in her place Phong Le has agreed to resume his duties as CFO in addition to continuing his role of COO. He is here with me today and we will start by sharing our Safe Harbor notice.
Phong Le: Thank you, Michael, and good evening, everyone. Some of the information we provide during today’s call regarding our future expectations, plans and prospects may constitute forward-looking statements. Actual results may differ materially from those forward-looking statements due to various important factors, including the risk factors discussed in our most recent 10-Q filed with the SEC. We assume no obligation to update these forward-looking statements which speak only as of today. Also during today's call we'll refer to certain non-GAAP financial measures. Reconciliations showing GAAP versus non-GAAP results are available in our earnings release which was issued today and is available on our website, www.microstrategy.com.I'd like to begin by saying we hope you and your families are staying safe and healthy in this difficult time. The COVID-19 pandemic is an unprecedented global emergency that’s fundamentally changed our business as being done, at least in the near term. At MicroStrategy we've successfully instituted a work from home initiative for all of our employees. I am pleased that how quickly we're able to make this transition. While working from home is not a perfect substitute for our normal working environment, it does present challenges. I want to thank all MicroStrategy employees for quickly adapting to the situation and their dedication to ensuring our customers' success.Before I review our first quarter results, I want to reiterate a few key points about MicroStrategy’s financial strength that we believe are particularly important in the current environment. As the management team, we will take the steps necessary to work through this economics and public health crisis, while also helping to ensure we're making the investments necessary to capitalize on our market strength.We have a strong balance sheet with more than $500 million of cash and short-term investments and no debt. MicroStrategy is a 30 year old business that has experienced tough economic cycles before. We believe our debt free balance sheet is a strategic asset for the company and provides us with significant flexibility in uncertain economic times. We have over $300 million in annualized subscription term and product support revenue. This is a stable, highly profitable source of recurring revenue for us and one of the key strengths in our financial model. We have high gross margins, a cost structure that's mostly variable or reasonably flexible and low capital investment requirements. This scalable and flexible cost structure enables us to react quickly in an uncertain environment.Today I'll provide a high level overview of our first quarter performance, how the COVID-19 pandemic is impacting our business, provide an update on our strategic goals for 2020, discussing product updates and finish by discussing Q1 in more detail. We were on track to have strong first quarter license revenues through the middle of March. On an average, we typically close about 50% of our license revenues in the last two weeks of each quarter.In March, we began to see some deals slippage as certain customers pulled back on investments given the high degree of uncertainty in the market as well as their need to focus on operational continuity for their employees and customers. Overall, I’d characterize our Q1 performance as reasonable given the environment at the end of the quarter. We continue to take steps to support our customers during this time and make it easier to do business with MicroStrategy.We're now providing free upgrades to the latest version of our platform MicroStrategy 2020. Over 1,000 customers are in MicroStrategy 2019 are 2020. Our customers appreciate having access to the latest software and the most comprehensive security features in MicroStrategy 2020, which help support their work from home initiatives. Proactive customer engagement is delivering good upgrade activity which we believe will help sustain high renewal rates and drive increased spend from existing customers over time.Similarly, we made our online learning portal free to use through May 15th providing our customers access to hundreds of hours of training courses, certifications, and tutorials. We've seen a tremendous response from customers and partners with nearly -- with over 15,000 unique user registrations since we announced the program. The free upgrades in education demonstrate our commitment to be a long-term partner focused on our customers' success, which we believe will benefit us in the future.Our field sales organization has quickly adapted to engaging with customers virtually. We have strategic and longstanding relationships with many of our customers, which makes it easier to engage virtually. We have also used this opportunity to simplify our sales and sales enablement processes so that we make it easier to sell our products and demonstrate a faster ROI to our customers.All of our marketing events have moved to virtual platforms. We're seeing significant benefits to this approach, including making it easier to organize and schedule customer events and being able to leverage our senior leadership and thought leaders more broadly. For example, we ran a virtual roundtable for our federal business, bringing together our best customers to discuss issues and challenges they're facing. The group was moderated by our Head of Marketing. In the past we've had two of the top three highest attended webcasts in the history of our company. This combination of strong customer interest, greater flexibility and significant cost savings encourage us to focus more on virtual marketing resources and events going forward.We continued our progress of selling our managed cloud platform in Q1 which as a reminder is at full parity to our enterprise grade on-premise product. In today's environment, businesses are looking for fast, secure and economical solutions and that is how we are positioning our product. Our customers understand that by using our managed cloud platform, they can lower total cost of ownership and get data faster and more securely.Before turning to the financials, I'd like to review the highlights from our Annual MicroStrategy World User Conference in Orlando. This is one of the best attended world events we've hosted with around 2,500 attendees. The highlight of the event was the introduction of MicroStrategy 2020, our latest platform release that builds on the tremendous innovation of MicroStrategy 2019. In particular MicroStrategy 2020 includes additional enhancements to hyperIntelligence, making it easier to gain insights from popular websites, applications and devices people use every day including Chrome, Edge and Outlook.Customers can now click on dynamic links within a HyperIntelligence card to take direct action, make it seamless for an insight interaction. We signed transactions with some great new HyperIntelligence customers including Pfizer, the General Services Administration and Nu Skin Enterprises. Customer feedback on our new innovations and product roadmap has been very positive and underscores our position as a leader in the enterprise analytics market.It's not just our customers that are recognizing the strength in the MicroStrategy platform, MicroStrategy received the highest use case scores from Gartner in the Enterprise Analytics Use Case, 4.86 out of 5 and Embedded Analytics Use Case, 4.96 out of 5 in the Gartner 2020 Critical Capabilities for Analytics and Business Intelligence Platforms report. We're very proud of these scores and believe our breakthrough technology of HyperIntelligence satisfies the new customer use case for speed and agility that hasn't been addressed by traditional analytics and BI tools.Turning to our financial results in more detail, revenues for the quarter were $111.4 million, down 3.4% year-over-year and 1.7% on a constant currency basis. Product license revenues were $12.6 million in Q1 2020, a $5.7 million or 31.2% decrease year-over-year and 28.2% on a constant currency basis. As discussed, we had a number of deals within a few weeks of the first quarter related to -- in the last few weeks of the first quarter related to the effects of the COVID-19 pandemic. However, as of the end of Q1, no major deals were lost due to COVID-19.We may experience decreased product license revenues compared to prior year periods until the effects of the pandemics has subsided. Subscription services revenue of $8 million in Q1 2020 were up 11.5% year-over-year and up 9.9% compared to the three months ending December 31, 2019. The growth of subscription services revenue reflects the growing portion of our product bookings that are related to our managed cloud platform.Product support revenues were $71.2 million in Q1 2020, a slight decrease year-over-year, but 1.2% increase on a constant currency basis. Our renewal rates remained strong this quarter. Although our product support revenues were not materially impacted by the COVID-19 pandemic, during Q1 2020, our product support revenues may be negatively impacted in future periods to the extent the customers require extended payment terms or determine not to renew their product support arrangements as part of their efforts to reduce expenses.Finally, you'll note that other services, which is largely our consulting services, increased 6.7% year-over-year, 8.1% on a constant currency basis. We've been delighted in our consulting organization’s ability to continue to effectively deliver services remotely to our customers and we are expecting that remote delivery trend to continue. This is a great example of our operational agility and focused on serving our customers. Although our consulting revenues were not materially impacted by the COVID-19 pandemic during the first quarter of 2020, we may experience declines in our consulting revenues in future periods as our customers continue operating in remote work environments and aim to reduce expenses.Total deferred revenue and advance payments at March 31, 2020 were $188.6 million. This was down 3.1% year-over-year, but there are two factors that play here. First, there is a relatively large foreign exchange impact of 1.7%, particularly impacting our product support deferred revenue. Secondly, we had an unusually high rate of renewals in our managed cloud platform business that slipped into early April primarily due to customer administrative delays. These renewals have since closed.One other thing to note within deferred revenue, as we begin to see more existing customers convert to our managed cloud platform, there is a shift for deferred product support revenue to deferred subscription services revenue.Turning to cost, gross margin for the quarter improved slightly to 78% compared to 77.3% in the same period last year, partly due to improved consulting utilization. Total operating expenses were $87.0 million in Q1 2020, a 12.7% decrease year-over-year and down 12.4% quarter over quarter. The year-over-year cost decrease is driven by efficiency in staffing, reductions in corporate travel and a reduction in the number of in-person events, mostly related to marketing.We also had a one-time benefit from the cancellation of our sales employee awards event which was required as a result of the COVID-19 pandemic. Driving efficiencies across the company is a key strategic focus for us and we continue to balance making investments in the business that will enhance our growth opportunities with identifying opportunities to take cost out of the business. We're confident that we can improve both top-line growth and margins over time.Turning toward our balance sheet, we ended the quarter with $539 million in cash and short-term investments. You will note that during the quarter we repurchased approximately 355,000 shares of MicroStrategy class A common stock for $50.7 million. We'll continue to be opportunistic in our share repurchase activity, which is one component of how we think about long-term capital allocation. As a reminder, our policy is not to discuss our buyback intention in advance.Looking ahead, the emergence of COVID-19 pandemic has significantly impacted the world. Like most companies, we're evaluating the financial impact to our business. From a demand perspective, we're seeing the positive impact from our product and go-to-market investments over the past 18 months and our pipeline for product license and cloud subscription sales.In a normalized environment I would be feeling confident in our ability to generate constant currency revenue growth. However, given the high level of uncertainty in the market due to the COVID-19 pandemic, the associated economic disruption and the deal slippage we experienced at the end of March, we expect our ability to convert this pipeline to sign deals would be more challenging. Right now, there is simply a wide range of outcomes for product sales in Q2 and the balance of the year. We also expect to see some modest headwinds to our product support and consulting revenues over the rest of the year. We have a highly diverse customer base and consistently high renewal rates.We do have some customers with extreme challenges in their business that we believe may lead to some payment lapses or delays leading to some pressure on renewal rates. We are expecting some pressure on consulting revenues as some customers look at ways to reduce spending to manage their near term expenses.With regard to expenses, as we discussed last quarter, we believe we have right-sized the organization to allow us to continue to invest in our business. Our prior initiatives, including driving greater productivity in sales are moving some of our R&D and overhead functions to lower cost locations.Now, with the recent changes to our marketing programs and reductions in travel, we believe we have the ability to offset a potential drop in revenues. Our objective is to deliver positive operating margin and positive free cash flow in 2020.Now, I'd like to turn it back to Michael Saylor.
Michael Saylor: Thanks, Phong. Yes, as Phong said, there are challenging times, but we feel pretty good about the path ahead. We're pretty seasoned company. We’ve been around 30 years. We've lived through a number of other crises. About every 10 years, there's normally a difficult time. I think our balance sheet is a great asset. We're sitting on all cash with no debt and so we’re -- we can calmly think about how we want to move forward.I think we've made the right structural decisions over the last few years to create a very efficient P&L. We're structured to generate cash flow. We've got very stable recurring revenues. We've got flexible cost structure. I'm enthusiastic about the fact that we have a modern open platform. What we're seeing in 2020 is a major digital transformation and certainly one transformation is to work remotely via Zoom. And the other transformation is work out of the cloud. And so we're really looking at, what I'll think of is, as an explosive virtual wave of change.We’re positioned well with it because our platform runs equally well on AWS or Azure, and because we support Windows and Linux, we can move seamlessly between the enterprise and the cloud and we're well positioned to bring online Google support later this year. I believe that we're going to see increasingly companies are going to want to be able to move between AWS, Azure and Google as they become more dependent upon cloud bandwidth.Our Enterprise Intelligent offering is in more demand than ever I think. Our HyperIntelligence, mobile intelligence and web intelligence, all still resonate very, very well with the marketplace. We've got a good remote delivery model. We can deliver our software remotely and have. We’ve learned that we can deliver services remotely. We restructured our education fairly quickly to eliminate all of our classrooms and physical sessions and go to virtual sessions. And then we’ve rebuilt our education offering so that we could offer on demand education.We lifted our limits from 20 users a class to 200 users a class. In some cases, we've been teaching 400 people in the same classroom. So we found that our education could scale nicely. We also were able to switch all of our consulting engagements from on-premises to remote fairly quickly. Probably half of them are already remote going into the COVID crisis, but the other half were able to go remote in a very quick period of time. And we were very, very impressed with the dexterity of the entire consulting team to do that.Our support and our cloud operations are performing smoothly and effectively in a remote mode. And so, as I look forward, our method for monetizing the brand is we ship software and we ship services. And if we can deliver the software, the education, the consulting and the cloud services, all in a remote model, then that puts us in good position regardless of what shape the evolving post-COVID world takes.We also have seen that our agile analytics model works really, really well in this environment. We've moved through a number of very intricate corporate business reviews, and we’re able to do them with a combination of Zoom calls, MicroStrategy dossiers and MicroStrategy HyperCards. And if you just put MicroStrategy dossier onto the screen in the middle of a Zoom call, you can have 12 people in 12 different locations all working at the same information. And by hovering over any particular line item, a HyperCard comes up in a split second and you're able to get the information you need at your fingertips all while zooming around anywhere. It's a really, really elegant model for running a business. It's what we -- it’s a differentiator for us. We think we do it better than anybody. I think that this explosion and a demand for Zoom will end up applying really well to our actual analytics strengths. And we've learned that we can not only operate sophisticated business reviews using Zoom, plus dossiers, plus HyperCards but in many of these cases we can change the dossier construction in the 24 hours before the meeting and we can change the HyperCard within 24 hours before the meeting. So it's easy and it's fast and it's agile.This is really, really a good place to be as we look forward. More and more businesses need to find a way to operate in a virtual environment. And normally that means, how do I create something useful in a matter of hours and deploy it to people all over the world and do it with a sub-second response. And we didn't just put this together in the past few weeks, we've always been working on it for the past five years as part of MicroStrategy 2020 platform. But I think that 2020 passed a lot of operating tests with flying colors over the past month. And so we're really happy about that.Finally, of course, our biggest asset is our customer base. And we have enterprise class customers, and that includes lots of banks, healthcare companies, telcos, governments, technology companies and retailers. Some retailers are right in the thick of this crisis, the major supermarkets shipping food and they're -- essential. Other retailers in the fashion luxury segment that are a bit more hit by this. The good news is that the great majority of our customers are either critical and essential to their various economies, or they have extraordinary balance sheets. And even if they are impacted by COVID, they’ll continue as going concerns and entities. So we can't assume that we won't actually suffer some compression or our customers will suffer some deleterious outcome because of the COVID crisis. But all-in-all, we feel that our customer base is better positioned than most and our business model combined with our balance sheet, combined with our product and service offering is better positioned than most to do well as we move into a virtual environment.And so with that, I think we'd be happy to take questions from analysts.
Operator: Thank you. Our first question comes from the line of Tyler Radke with Citi. Your line is now open.
Tyler Radke: Maybe you could start with you Phong, appreciate the color on some of the trends that you're seeing out in the field. Maybe if you could just elaborate in terms of, if there's particular verticals or a segment of customers that you're seeing those deal slippages come from, are those the same customers that you perhaps anticipate renewal rates to be pressured. And do you have any sense on when those headwinds could reverse? I am just trying to understand if you anticipate the renewal rates to be worse? Are they turning off MicroStrategy or they’re just going off support? Maybe it would just be helpful to clarify that. Thanks.
Phong Le: Hey, Tyler. Thanks for the question and I hope you're doing well too. As far as the deal slippage from Q1, as I mentioned, a lot of it happened in the last few weeks of the quarter and it wasn't necessarily any particular industry or segment. A lot of what we heard from customers who are still very interested in our software and incremental purchases was especially, hey, we're just really focused on business continuity right now, so where an IT department was ready to implement increased usage for MicroStrategy. They were now just figuring out how to make sure every one of their employees had locked laptops so they could work offline or work from home. And that isn't particularly in any industry. It was really just a lot of customers would have had to turn and focus on that sort of immediate first couple of weeks. And those cases, we're continuing those discussions now and most of them have gotten through the first two to four weeks of disruption. And I think those deal cycles are looking positive. So that's sort of the first part.On the renewal rates, I think it's early to tell. Certainly there's some impact from customers who are seeing revenues decrease in areas like travel and hospitality and restaurants and those areas. But it's not sort of a predominant case of where our customers are concentrated. Nor is it -- nor are we in a place where we can say we're predicting a trend yet. I think as we're seeing in the world and we're seeing sort of in the macroeconomic sort of environment, I think Q2 will tell us and tell a lot of our customers a lot about sort of where this is all going to go.So as I mentioned in sort of our prepared remarks, it's still early to predict how this will impact our product support revenue streams. But as Mike mentioned, I mentioned, we're well prepared to be reactive and proactive with our customers.
Tyler Radke: And just to follow up on that I guess if I look at the deferred product support revenue, I know you talked about some -- a few different dynamics in terms of invoicing and delays that wasn't sure if that was on the subscription or product support line. But with product support, deferred product support being down roughly 5 million year-over-year. Is that kind of what you're looking at in terms of the concerns of potentially seeing that the headwind itself in reported revenue or is it something in the pipeline that, that gave you the caution on the support rates?
Phong Le: Yes, I think the only thing that you really point to as far as actual financial impacts is our product license revenue. And as I mentioned, that's because we pick up a lot of that in the last couple of weeks of the quarter. The slight decline in product support revenue was primarily related; one, to FX impact, which we continue to see some headwinds there; and two, some of that revenue moving from product support over to subscription. So nothing immediate. We definitely are having conversations, right, like even in the last few weeks with customers who are asking for delayed payment terms. We're seeing a lot of that, right? Our standard payment terms of 30 days and we have customers asking for 90 days, 180 days. And then we do have a small section of distressed customers who are asking for relief on their maintenance. So nothing sort of in the actual Q1 financials I’d point to, but more conversations we're having with customers through our customer success channels and through our sales channels.
Tyler Radke: Great. And then my last question, I apologize I joined the call a couple of minutes late. But could you just talk about the CFO transition and I think that, that probably caught a lot of folks by surprise given that the short tenure that Lisa Mayr had, but what -- anything that call out there and then are there other plans to hire another full time CFO and what are your just thoughts on that transition?
Phong Le: Nothing as far as the transition itself. Lisa, sort of resigning and going on to look for other opportunities that I think is worth expansion. I did this job six months ago for four years. I'm actually looking forward to doing it again. So fortunately for her, maybe, unfortunately for all of you, you get to talk to me again and more. And as far as our plans going forward, I don’t-- we're not immediately planning on searching for a CFO. I think the nice part is as I ramped up in the second half of the last year with sales and consulting, I was able to put in a pretty strong leadership team and a deep bench. We've promoted a bunch of people from within, so I feel like the leadership and sales and consulting has really stepped up, which allows me to better split my time between finance and operations. And I'm actually really looking forward to it and hopefully you guys all are too.
Operator: Next question comes from the line of Hamed Khorsand with BWS Financial. Your line is now open.
Hamed Khorsand: So a few questions here. Is there any risk of less usage of customers have employees working from home? Would they need less services in consulting?
Phong Le: Yes, a good question Hamed and it's maybe two parts. In terms of use of our software, I think the answer is no. If you look, study sort of previous downturns in the economy, we noticed that people using our software for operational purposes, especially, tends to increase, not decrease. As people work from home we'll see more of a move to the cloud. And if supply chains get more complex and I would say more scrutiny, I think our software will increase in usage too. So on a per customer basis, they're still operating. I'm not too worried there. On the consulting side, I do think when people are working from home there is less of an interest in spinning up large consulting engagements and major IT improvements and capital spend associated with consulting. We saw a little bit of that towards the end of the Q1 and we're seeing some of that in Q2. So I do expect for the period of the COVID-19 disruption, a impact on our consulting revenues.
Hamed Khorsand: And then how you’re navigating this environment as far as sales goes and hitting quotas, if quotas exist at this point just given that everyone you would be targeting is working from home?
Phong Le: It's interesting, if you'd asked me six weeks ago, I would've said we're still figuring it all out. We have fortunately been in an environment where all of our sales people generally speaking, are working remotely anyways. So it's not as if it's a major change to how they operate. The differences instead of meeting a customer in an office, in the middle of Manhattan or London or in the Bay area, they're doing it remotely via Zoom or WebEx and actually it gives them an opportunity to increase productivity so that they're not traveling three, four hours a day and they're able to meet 3 to 4x the number of customers. So we've actually seen some pleasant outcomes there. And the customers are getting used to it too.On the side of quotas, yes, when you're down 30% year-over-year in product license revenue, I think sales people look at Q1 and do worry about their ability to make money. As I sort of mentioned earlier, the pipeline is strong. And so I think people see positive outcomes as we go through the rest of the year. And our hope is that our customers start to transition from a reactionary focus on business continuity mode to a proactive take advantage of the situation and really start to invest in analytics again. And I think that'll be positive for our sales folks. So I think we'll learn a lot as to how our customers and our sales folks will react in Q2.
Hamed Khorsand: And last question, though, any upgrades gets done when companies have employees working remotely? I mean what’s the enticement to do anything?
Phong Le: That's been -- and Mike talked about it, the pleasant surprise with our business, if you will, is we gave out free education expecting maybe a few thousand customers in our sort of best case scenario to take it in over 15,000 unique customers and partners signed up for education. And what realize is while people are working from home, they actually have more time and they want to brush up on their resume and they want to brush up on their experiences.With upgrade, especially because it's free, it's the perfect substitute for capital investment, either in software or in services. And we found -- we've actually improved our ability to upgrade remotely and we're seeing good positive outcomes and upticks in upgrade activity also. So, those were, I would say, two scenarios where we actually took advantage of the current situation to give something back to our customers. And obviously, customers who get educated on MicroStrategy and upgrade to our latest platform show that they're highly engaged with our software. And when the time is right, they'll buy more education, they'll buy more services, they'll buy more software. So we've been pleased with how we've been able to pivot on that. And I think the customers see it as a very positive sort of thing for us to do in a time of need for them.
Operator: Thank you. We have no further questions at this time. I would like to turn the call back over to Michael Saylor for closing remarks.
Michael Saylor: I want to thank everybody for your support over the past 12 weeks. I want to wish you all the best to come. I know it's very difficult time. We appreciate you being with us today and all the best. We'll speak with you in 12 more weeks. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.